Operator: Good day, and welcome to the SRAX Third Quarter 2017 Results Conference. Today's conference is being recorded. And at this time, I would like to turn the conference over to Kirsten Chapman of LHA. Please go ahead.
Kirsten Chapman: Thank you, Sofianna. Good afternoon, everyone. I’d like to welcome all of you to SRAX's third quarter 2017 conference call. This call is being webcast and is available on the website. In addition, today we'll use an accompanying slide show to review BIGtoken. You may view this via the webcast or download the slides from our website at srax.com/investors. With us today from management are SRAX’s CEO, Christopher Miglino; COO, Kristoffer Nelson and CFO, J.P. Hannan; Chris Miglino will review the Company’s third quarter highlights; Kris Nelson will provide an overview of BIGtoken; and J.P. will discuss the operations and financial metrics; then Chris Miglino will open the call for questions. Before I turn the call over to management, I would like to remind you that during this call management’s prepared remarks containing forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements during the question-and-answer session. These forward-looking statements are subject to risks and uncertainties and actual results may differ materially. When used on this call the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to SRAX are, such forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those anticipated by SRAX at this time. In addition, other risks are more fully described in SRAX's public filings with the SEC, which can be reviewed at www.sec.gov. Finally, please make note that on today’s call management will refer to certain non-GAAP financial measures in which SRAX excludes stock-based compensation expenses and other one-time items from its GAAP financial results. Please refer to SRAX's press release for a full reconciliation of non-GAAP performance measures to the most comparable GAAP financial metrics. Now, it is my pleasure to turn the call over to SRAX’s CEO, Chris Miglino. Chris?
Chris Miglino: Thank you, Kirsten. Good afternoon, everyone. I'm excited to be speaking with you today. Now over the past 12 months, we've transformed SRAX, significantly improved our performance and enhanced our position as a leading digital marketing and data management platform delivering the tools to reach and reveal valuable audiences. Altogether we have created additional opportunities to drive long-term growth and shareholder value. First on October 2016, we uplisted in NASDAQ, improved our access to capital, then throughout the year, we completed several transactions that strengthened our balance sheet. Further, we improved operations by focusing significantly on higher margin revenue. As a result, we did term revenue, we improved gross margin dramatically. In fact the third quarter we more than doubled our margins reporting 56% up from 26% in the prior year. We also reduced operating expenses. And in addition, we finalized the consolidation of our buy side into one operating unit. This contributed to lower operating loss and adjusted EBITDA loss. Q3 adjusted EBITDA loss improved to $93,000 from $732,000 a year ago the same quarter. Now, let's discuss some of our recent successes. First, we acquired OpenDSP, a unique demand side platform technology truly complementary to our platform. We believe integrating this existing DSP will enhance our real time bidding and targeting capabilities. Now SRAXmd continues to be a great success. In fact, we grew revenues a 100% year-over-year annual since we introduced it in 2014. Our SRAXmd model delivered specific desired messages about brands to very specific target audiences through digital and mobile advertising. A prescription for our success SRAXmd as it triangulated tremendous results for companies and their agencies. As previously discussed, we intend to leverage this business in several ways. First, we're replicating the model for additional verticals. We plan to launch a series of categories specific tools for buy side digital marketers. We have begun with automotive and sports verticals. In fact just this week, we formally unveiled SRAXfan to deliver highly targeted advertising to the right fan at the right time when emotions are high. StadiumTRAX delivers location targeted ads to mobile devices in or around stadiums and other sporting venues. FanTRAX combined sports interest and behavior data to identify sports fanatics and SportsViewTRAX reaches sports viewers where they gather. Enable the brands and agencies to reach sports fans during live sporting events is a game changer and we're connecting with them at home, at the stadium, or gathering locations such as bars, restaurants and universities. Furthermore, for the SRAXmd business, we are evaluating strategic alternatives to maximize shareholder value. SRAXmd has a patent pending platform that allows for an event trigger response for targeting healthcare provider facilities to capture the attention of providers before they decide on a treatment course for patients. The ability to positively impact patient outcomes through real time mobile targeting to professional is the future of non-personal promotion, which continues to evolve at a more rapid rate than traditional methodologies. As a company we need to explore all corporate options available to help us ensure that we can capture, what we expect will be a continued surge in demand for our SRAXmd technologies. In October, we announced to engage advisors to explore range of alternatives including spinning off the business into its own public company, strategic acquisitions or a variety of other possible transactions. Also in October, we held an Investor and Analyst Day in Mexicali, Mexico, participants toured our facility and senior management presented our products a review of the company, and an overview of the Cryptocurrency market. All of these presentations are on our website. We believe that the events successfully demonstrated the depth of our management team and scope of our offering. We continue to develop cutting edge technologies that could transform the marketing industry. In September, we unveiled BIGtoken, our Blockchain Identification Graph platform. We believe our BIGtoken platform to revolutionize data sales by offering consumers choice, transparency and compensation for their data. I've invited our COO, Kristoffer Nelson to review BIGtoken in greater detail. Today's purpose is we have posted a presentation on our website to accompany this discussion. Please Kris.
Kristoffer Nelson: Thank you, Chris. I'm Kris Nelson, the COO at SRAX. I'm excited to be here to share with you all today SRAX BIGtoken. As mentioned at the opening of the call and just now, there is a webcast presentation, which you can follow along or download srax.com/investors. SRAX has been working with and utilizing consumer data in its campaigns for over seven years. Acquiring consumer data is challenging and inefficient. SRAX is creating BIG platform to directly connect with consumers and pay them for their data. The web was created to enable the free exchange and access of information. And thus facilitate connections between people despite barriers such as location and time. However, the complexity and the cost of the system has produced centralized structures that impede the very purpose of the web originally was designed to promote. Today a select number of companies act as gatekeepers, blocking information flows and diverting data collected from online communications into impenetrable and filed marketplaces. It is in these marketplaces that the digital product of human interactions data is bought and sold with little oversight and awareness. This creates inefficiency for businesses and a variety of challenges for consumers. A system meant to remove barriers to information, exchange for everyone, now creates further obstacles towards that goal, all to the profit of a select group of companies. There is vast social and commercial opportunity for a system capable of removing restriction. By building a transparent consumer focused platform deliberates the currently restricted exchange of information. We can return people to the core mission of the web, while producing great commercial value. To this end, we had development on the block chain identification graph, which we're calling BIG platform. BIG platform creates a human data graph to enable the transparent exchange of digital identity and consumer data in the efficient exchange of economic value. Through BIG, each consumer regains his or her place at the center of the web, not the expensive commerce, but for its continued expansion. Consumers participate in BIG by entering through BIG app. A digital token, BIGtoken instead devices consumers to share and verify their data in a marketplace that ensures transparency and choice, they are rewarded when they often and earn from commercial transactions when their data is purchased. Developers and media companies can build media properties, social networks and utilities on top of the BIG platform, which will consumers and consumer data exchange first. Publishers and advertising systems can build platform integrations to facilitate data sales or data purchases with a complete awareness of consumers and data accuracy verified by consumers. To this end, we will be executing an initial coin offering beginning with a private pre-sell in December, a white paper detailing our plans is soon coming. To receive information, as it becomes available visit bigtoken.com and sign up for our updates. BIG is the open source data platform for the human web, creating a free and commercially robust future. Thank you. I'd now like to turn the call over to J.P. Hannan, our CFO.
J.P. Hannan: Thanks, Chris. For the third quarter of 2017, as compared to the third quarter of 2016, gross revenues were $5.6 million. This compared to $9.5 million in the prior year’s third quarter, which included revenue from a large non-recurring reach customer. The decrease reflects our ongoing effort to reduce low gross margin revenue, partially offset by an increase in higher margin revenue from SRAX buy-side and sell-side clients, as well as continued growth in SRAXmd. Now despite the decrease in gross revenue, gross profit grew to $3.1 million, this compared to $2.5 million in the third quarter of 2016. Our gross margin was 55.8% that compares to 26.7% in the prior year’s third quarter. This reflects the benefit of the reduction of low margin revenues. Third quarter of 2017 operating expenses were $3.7 million. This compares $3.9 million in the third quarter of 2016, reflecting the benefit of cost cuts made earlier this year. Our operating loss improved to $560,000 compared to an operating loss of $1.3 million in the third quarter of 2016. Again reflecting the strategic focus on higher gross margin revenue and a more efficient sales operation. Interest expense reduced to $619,000 compared to $1.1 million in the third quarter of 2016. Company also recorded $2.9 million in non-cash expenses related to the accretion of warrants. Total other expense was $3.5 million, which compared to $1.1 million in the third quarter of 2016. Our net loss was $4.1 million compared to a net loss of $2.4 million in the third quarter of 2016. This was largely driven by the non-cash warrant accretion I just mentioned. Adjusted EBITDA loss was $93,000 as compared to a loss of $730,000 in the third quarter of 2016. We ended the quarter with $216,000 in cash on hand and in October we entered into definitive securities purchase agreement with existing investors to the sale of approximately $5.2 million of 12.5% secured convertible debentures due in April 2020. We also issued 863,365 Series A warrants to purchase Class A common stock, these are the five-year term, they're also part of this financing transaction. Debentures will be secured pari passu with the investors' prior debentures issued in the company's April 2017 offering. The debentures and warrants are initially convertible and exercisable at $3 per share and is subject to anti-dilution protection. Net proceeds from this financing were applied to our working capital. While we issued additional shares and warrants in this transaction by October 31, 2017, 1.1 million warrants had separately been retired or expired and this negates some of the recent overall dilutive effect. The cumulative outcome here as we now currently have 8.7 million common shares outstanding and we have 3.7 million warrants outstanding. Now onto review of our 2017 guidance. As we stated earlier in the year, SRAX is managing its business to optimize gross margin and grow adjusted EBITDA. With this focus, gross revenue maybe impacted. However, we're committed to these key metrics that ultimately drive bottom line performance and our profitability. As such, we expect full year gross margin to exceed 50% as compared to 35% in 2016. We expect SRAX will generate positive adjusted EBITDA for the second half of 2017, and to be breakeven or better for the full year 2017. And this is up from an adjusted EBITDA loss of $1.1 million in 2016. And with that update, I'd like to turn the call back to Chris.
Chris Miglino: Thanks, J.P. Over the past year, we’ve implemented strategic initiatives to expand our opportunity and leverage our data management platform. The transformation has been significant and standard foundation for growth in 2018. That said, BIGtoken stand some market really change the way that data is bought and sold. We're excited about the prospect and we'll keep you posted. Before I open the call for questions, I'd like to note, you can see us at the LD Micro Main event in Los Angeles in December, in which I will be participating in a Blockchain panel. I’d now like to turn the call over to the operator for Q&A.
Operator: [Operator Instructions] And we will take our first question from Steve Ossello from Aspenwood Capital
Steve Ossello: Hey, Chris.
Chris Miglino: Hey, Steve. How are you?
Steve Ossello: I’m doing well. Just took two-part question. How do existing shareholders benefit from BIGtoken just in a sort of a concise answer? And then secondly, how do current investors participate in the token offering?
Chris Miglino: So, obviously without the support of existing shareholders within SRAX we wouldn’t been able to get here to do the token offering. So what we’re doing now is we’re working with the lawyers to structure a dividend off of the digital token to all of our shareholders. So for every share that you own in SRAX, we will be issuing a share of cryptocurrency into BIGtoken. So as a shareholder of SRAX, you’ll have the benefit of being able to participate as a cryptocurrency owner. Now we understand that there’s a lot of shareholders that we have that have never owned a cryptocurrency and are not familiar with the process of owning a cryptocurrency. But we’ll be providing the assistance in helping those investors to get set up so that they can understand how they can create a wallet to put their cryptocurrency in and ultimately how they could sell that cryptocurrency into the market.
Steve Ossello: Nice.
Chris Miglino: That’s for your first question. On the second part of your question, one of the challenges that a lot of these token sales face and the risk that they face is the unknown about what the SEC will do to what is known as a utility token. So what we’re creating – we’re doing everything by the book and registering all of our digital tokens with the SEC so that everything is in compliance. Once that is done every investor will be able to participate in the presale of those tokens in the marketplace and that will happen before we go out to the public. So hopefully that answers your questions on both of those.
Steve Ossello: It does; and if you could just comment about timing.
Chris Miglino: Right now, we anticipate, obviously, when you go this route you’re a little at the mercy of the SEC because you have to wait for certain approvals from the SEC. But we’re in the midst of getting everything together to file now. And the white paper should be out in the next few weeks here so that you can see exactly how all the tokens will be distributed, what they’ll be used for and how the system will work and where the funds will be allocated.
Steve Ossello: Great. Thanks, Chris.
Chris Miglino: Thank you.
Operator: And we will take our next question from Jim McIlree from Chardan Capital.
Jim McIlree: Thanks, and good afternoon, everyone. J.P., I’m trying to understand this guidance that you have for the year. You’re saying full year EBITDA breakeven, is that right?
J.P. Hannan: I mean, as the year progress we’ve been updating our guidance, we previously had adjusted EBITDA guidance of between $2 million and $5 million out there, currently viewing it as slightly profitable for the year. So I don’t think we’re going to make the $2 million to $5 million range.
Jim McIlree: Yes, yes. But that implies that you’ll do like $1.7 million or so in adjusted EBITDA in Q4, so that’s maybe – I don’t know, would that turn out to be like $10 million a quarter top line?
J.P. Hannan: I mean, Q4 is always a very strong quarter for us, it’s cyclically a very strong quarter for most advertisers. If you look back to what we did last year, I think we did about $600,000 in EBITDA and on the success in the strength of MD and some other things we’re going on – we’re going to be more profitable than we were a year ago which gets us to that breakeven. We’re slightly better by year-end.
Jim McIlree: Right. Great, got it. And what are the financial obligations that you have for the next 6 months or 12 months?
J.P. Hannan: Well, we’ve cleaned up quite a bit through the financings we’ve done. The $1.5 million put more that was out there, it was settled in our recent debenture financing, so that no longer sits out there. We’ve cleaned up quite a few of our old payables and compressed down that working capital gap that we had which at one point which is much as $8.5 million and now we’re closing on even between payables and receivables. So we really cut that spread. So we don’t have other than interests; we don’t a normal operating costs; we don’t have a lot of other obligations ahead of us.
Jim McIlree: So post all of the balance sheet cleanup and the $5.2 million October race, what’s the pro forma cash balance?
J.P. Hannan: Right now we have about $1 million on the books.
Jim McIlree: All right. And then, on the timing of the ICO, I’m assuming it had been affected by the recent decline in bitcoin or has it? Or either you’re still thinking that the timing is depending on what we talked about a month or two ago?
Chris Miglino: No, it’s still on track. I mean, since the last time we talked – we spoke, I think we were talking when bitcoin was at $5,000 something, it went to above $7,000 and now it settled down a little bit to $6,500 or so. I don’t know where it is this very second, but certainly has not had an impact. There was talk of an impact because of the work that was anticipated to happen within the bitcoin world, but this is not something we believe that is impacting us at this point. So we’re still on track and has been working very hard to keep on track with the plans that we had put out into the market when we filed our 8-K with the presentation.
Jim McIlree: Got it. I know, Chris, that you're working with some consultant on this and their advice is that the window is still open and it’s an opportune time, I’m assuming that way. What the advice is that they’re giving in?
Chris Miglino: Yes. They're very – the advice we're getting is be very cautious about doing what's called a utility token and stay very focused on a security token. It's the opinion of a lot of people and a lot of advisors that we're talking to you that one day the SEC is going to pick somebody out of the group of people that have raise in a substantial amount of money to give the person that they're going to prove a point with. And there's a lot of companies out there raising $4,000 million to $5,000 million and the repercussions of being selected as that person are substantial. And we do not want to be that person, and so we want to be doing everything in compliance with the SEC and we think that that's a significant advantage that we have in the space. We're fully reporting everything that we're doing out into the market. The people that purchase these tokens will be able to see everything that, where – everything that we're using the money for. So we think that ultimately doing it this way is the right way to do it and ultimately the way that people will be doing these things in the future.
Jim McIlree: And when you talk about transparency and letting – and showing where all the money is being spent. Is that going to be contractually obligated or written into the structure of the organization into its bylaws or extracts bylaws such that the money is allocated for only a certain purpose? Or can you do it that way?
Chris Miglino: We will report since we're doing as a security token, it's – the cash will come into the company, but we will report on that business unit as a separate unit so everybody can see what was raised, what were the money was used for, how much it costs and how much revenue that piece of the business is generating. Which is much different than a bulk of these ICOs that are happening now, the companies are raising $5,000 million with zero transparency at all, investors have no idea where or how the money's being used? So we think this is a very good stuff for the ICO community and should be ultimately where the tokens reside in the future. And you can see to it just inside of overstock as well, right. Overstock is doing things in registering with the SEC, and I think that is the future of this business.
Jim McIlree: Got it. All right. And then just one last one for you J.P. The level of operating expenses, is that something that ticks up in Q4 with a normal seasonal increase or is that relatively flat now in Q4 versus Q3?
J.P. Hannan: I mean there’d be some variable component as revenue increases so do sale commissions, but outside of that – fairly, run rate at this point.
Jim McIlree: Okay. So it’s commission-based increase. Is there a significant amount of dollars being allocated for the ICO or not at this point?
J.P. Hannan: No, I mean there's been legal fee, but everything has been internally developed, there haven’t been a lot of spent money yet here.
Jim McIlree: Got it. Got it. Okay, thanks a lot guys. I appreciate it. Good luck with the revenue.
Chris Miglino: Thank you.
Operator: And we will take our next question from Anthony Marchese [ph]. Please go ahead.
Unidentified Analyst: Yes. Hi, guys. I’d like to focus a little bit on to the strategic transaction that you mentioned. I guess, you mentioned that you’ve got the SRAXmd involved in a strategy transaction, correct?
Chris Miglino: Yes. They were three. We've hired advisors to explore different strategic options for that business.
Unidentified Analyst: Okay. I am holding a copy of a lawsuit that you guys filed against – it doesn't matter the name of the company, but a company in I believe the state of Illinois that was filed in August. In it one of the exhibits, it’s looks like you had an offer to buy SRAXmd last December, the name was [indiscernible] they look like a fairly large company for a – well, it looks like up to $45 million. You mentioned that the unit has done better year-after-year. So should we be thinking about that kind of a number in terms of value because that would be substantially in excess of your market cap today?
Chris Miglino: So, you’re right, there is an offer of a transaction that we did not do last year. That was enhanced and that business has grown substantially since that date. So the numbers that were presented to a company that made that offer where half of what they are now. So we will – as we move down the process here with SRAXmd, we will see where the numbers come in. But I mean that's a very good point, and I think that – that's one reason that we're exploring what the options are there.
Unidentified Analyst: Okay, I appreciate that. And just second question relating to that. If you receive an unsolicited offer; then why now? Did you receive an unsolicited offer for the business or you decided, heck, if somebody wants to buy it maybe we should look at a range of alternatives?
Chris Miglino: We did receive another unsolicited enquiry and offer for the business. I’d call it more of an inquiry than an offer quite yet, because we went into potential process with the bankers.
Unidentified Analyst: I get it.
Chris Miglino: So we're in the process with the bankers to evaluate not just that individual opportunity but to see what the market holds for that business unit itself.
Unidentified Analyst: Well, listen as a shareholder that’s fantastic. You're potentially selling part of the company for doing some strategic transaction for well in excess of the market cap today. So congratulations, thanks.
Chris Miglino: Thank you very much.
Operator: [Operator Instructions] And we will take our next question from Matthew Larson from Wells Fargo.
Matthew Larson: Hi guys, thanks for taking the call. Key couple of things, looking at the earnings release there was one item called – other expense of $3.5 million that was in addition to the $2.9 million expense to some accretion on the warrants. What was that, is that just kind of big number versus particularly last year, the 2016 there was a $1.1 million number?
Chris Miglino: Let J.P, why don’t you take that.
J.P. Hannan: Sure. You’re referring to this, other expense $3.5 million is that correct.
Matthew Larson: Yes.
J.P. Hannan: The line item is above that.
Matthew Larson: Is that part of the expense to 2.9 for the warrants?
J.P. Hannan: On warrant accretion, yes, was one component of that. Interest expense was another component of it.
Matthew Larson: Got it. So that was the aggregate of your expenses. Okay. Then back to the SRAXmd which intrigues me kind of in the same way the previous caller outlined it. Is that particular vertical, is that the crown jewel and even if it is the other ones that you have the auto and you're launching a sports oriented one. Your skill set – could you consider that not being a one off and it could be duplicated in other industries. So that you're just taking advantage of potentially taking advantage of a liquidity opportunity or a monetization of an asset that might be wanting a premium at this time because, versus some of the other verticals and sort of could we expect your skill set and abilities to maybe build out some of these other verticals to that level or greater? Is that one of the reasons why we would invest in SRAX?
Chris Miglino: Yes. The expertise that we have around building these verticalized markets – is something that we're very good at. We've built up our CPG business very significantly and we've become experts at the consumer shopper marketing experience, as it relates to online to offline transactions. And we think adding these different verticals is leveraging the same technologies that we've created for these other markets.
Matthew Larson: Okay. All right. So that if indeed you are able to sell the MD, in the medical division, because it commands a premium currently it would take away some of your revenues, but you feel that you could build out alternative verticals. Just as you build that one out and you would also be in a nice financial position to do that. Is that kind of a game plan?
Chris Miglino: Yes. We don't break out our numbers by each verticals. So it's hard to discuss the size of each of these verticals in particular, but I will tell you that last year the MD business was a fraction of the revenue for the entire year. And most of that was coming from our CPG and other sales that were happening. That business has subsequently grown substantially and continues to grow and the team that's working on that business, on and MD side is doing an amazing job doing that, and we've built some amazing technology that we can not only use for the MD business, but can be applied to everything that we're doing.
Matthew Larson: Got you. And then I have – I guess the last question – its coming from a kind of a lay person perhaps of the enquirer question is kind of naïve – I apologize, but I'm looking just at the bullet points of the SRAXfan development here. Where you're going to be targeting potential consumers to marketers as they are at a game, I guess or when their interests are peaking and they might represent a good consumer to certain marketers. How would that be done through, you track them through GPS or something of that nature or I mean its a great idea, I’m just curious how you would be able to deliver somebody who's maybe at a sporting event to a marketer, so that he might be in the frame of mind to make a purchase.
Chris Miglino: Yes. It’s not necessarily to make a purchase, but it's to more of a branding perspective the likelihood of somebody actually executing on a car insurance while they're sitting on the game when it is not high. But the likelihood of all state marketing to a major league baseball stadium, because they are a MLB sponsor, is very relevant. So we have a bunch of different technologies. Same way that we do with MD to target on a location basis. The audience is less niche. So there's a lot more sports fans than there oncologists and cardiologists in the world, but we can break the audience down the same way and take those prepackaged data segments to the market and sell them to the right buyers.
Matthew Larson: Okay. And then it is a last question and it's to help me market the SRAX story frankly as I represent a number of investors who are involved. And as far as the BIGtoken’s are concerned and the interest in maybe earning some tokens initially by identifying yourself – by identifying oneself in the most accurate and detailed terms. So that data can be sold so to speak or used to reach marketers or vendors. What would it be like a questionnaire or something that somebody fills out. Or some other detailed, memo is that how it would work out?
Chris Miglino: Yes. One thing that need to be made clear is that, the infrastructure that we're building has a core infrastructure for many other developers to build on top of. So we're creating a platform that not only an app that we build that might draw consumer and is there, but many other builders of technology website apps – different things that are collecting data will be able to tap into the platform. So we won't be the only access to joining the big data platform. We’ll many, many other developers and partners that are helping us in that process. So that's an important distinction, because it opens up the many different ways that you can get people to put data inside into the BIG data platform.
Matthew Larson: All right, so I mean, for me to saying on this webcast, I gave my name, where I work, my e-mail, my phone number. That’s some data you guys have and you can reach me. Now in the case of the strategy of offering tokens to people who are going to and take a survey in the same way, but maybe more detail. So that you would have better quality and more detailed and accurate data to then use going forward is that just kind of – the strategy, okay.
Chris Miglino: Well, one of the challenges that we face as marketers as the accuracy of data. So in the past, in the digital advertising world specifically the viewability and bar traffic have been big conversations of fraud. One thing that nobody ever talks about is the accuracy of data that is being bought from these big data sellers. We think that there is an age of the next round of validation on the internet as it relates to digital advertising will be the validation of that data. We want to make sure that we’re not buying data that is inaccurate and is not something that is just being made up from a predictive model that Experian or somebody else wants to sell us. We want to make sure that the consumer is also getting compensated directly for validating their own data. So we envision a day when consumers will put in all their entertainment preferences. Consumers will the same way you do in QuickBooks will connect to their credit cards and connect all of their banking information. So that marketers can see where you’re using your cards and how you’re transacting. So and these are the different apps that will be built on top of the platform.
Kristoffer Nelson: I mean, I think it is just really timely, if you don’t want me saying is that just in a more broader abstract sense this whole focus on fake news or Russians putting out advertising on all sorts of different Facebook sites and whatever, people’s data being used inappropriately or against not necessarily against their wishes but without them knowing it, I mean, I do see with the proliferation of data globally and it's just out there that if at some point there might be some sort of retrenchment of lease its not a backlash where people want to have more control over what's floating around out there that has a name attached to it. I mean, I guess the Equifax I think is a perfect case in point where nobody was compensated for all that information that Equifax had, yet many are going to suffer some sort of issue with it. So if you get people willing to agree to sign up in advance and reward them for that effort, I think you're just getting head of the pack here. So anyway that's, I can’t just throw that and thanks for Chris.
Matthew Larson: Thank you. I appreciate that.
Operator: [Operator Instructions] And we’ll take our next question from [indiscernible].
Unidentified Analyst: Hi, I just had one question particular. The token sound an awful lot like the way Experian works and I wonder what’s your input on that?
Chris Miglino: Well, it's more of an – Experian is going to be more infrastructure for other things to sit on top of it to Blockchain itself, so our system is more geared towards the individual consumer and – will be driving token sales to buyers that want to buy data from consumers. So the biggest buyers of the token will ultimately be the big media companies, big marketing companies, big companies that are looking to validate data about their consumers, they will drive a market for the token itself. Consumers will also drive a market for the token itself by signing up on the platform like Matt was just talking about, and you'll be able to earn tokens for doing that. Naturally, there will be a market that will be created similar to what Experian is and how Experian has created a market for their token, but the functionality is just much different, it's a much different approach and very specific to the ownership of data for consumers.
Unidentified Analyst: Okay. Because it kind of sound like it was – yes, now I have a good idea of what it really is fundamentally good, because I got this kind of the exact opposite, am I right?
Chris Miglino: Well, I mean, it is a crypto currency in the sense right, so we would be so lucky as to be as successful as Experian has gotten trades at a very substantial number and if we can drive BIGtokens to the same prices where they are, we would be – it would be a great place for the token itself and for the market. So it's just a little bit of a different thing, but as are many of these tokens are – they're very unique in and of themselves of what they're doing and what their purpose is. And we think we have a very unique purpose for the token and we think that we have the ability to create a market. We've been in this business on the marketing, advertising, consumer data side for a very long time. So we know all the players in the space. It's not something that we need to go and figure out. We – once we have the data from the consumers by selling that data is a very natural process. We know the buyers. We know the people that execute those transactions and that's something that we think that other people even if they had a platform for consumer data would have to spend a lot of time figuring out. And I think we have a unique advantage in that space.
Unidentified Analyst: Okay. So just to clear everything up, basically it’s consumer data driven to generate the coin?
Chris Miglino: That's one way. There's a few different ways that coins can be generated, right. So you as a consumer give your data, you get a coin, you as a marketer would acquire coins in order to buy data. So you would buy data through what is called the DSP and DMP, demand side partner and data management platform where they're buying data or buying access to data. They'll do that in cash and that will automatically be converted into BIGtoken and there's a constant market for that and the price will fluctuate based on the different segments that they're looking to buy again. So if you're looking to purchase data against a specific audience that has assets over $1 million or own certain types of cars or lives in certain types of neighborhoods depending on where those are, will be the driving force of what the marketer will need to pay to access that data. And we've created that infrastructure and that's what we're bringing to market.
Unidentified Analyst: Okay. That definitely clear things up. Thank you for you time.
Chris Miglino: Thank you for the question. Appreciate it.
Operator: And we are now out of time for our question-and-answer session. I would like to turn the call back to Chris for any additional or closing remarks.
Chris Miglino: Thank you very much joining the call today. We really appreciate it. If there is – if you have any other questions at all, please feel free to give us a call or let us know, but we really appreciate you joining the call today, and we hope to see you all soon at any of these investor events or at any of our marketing events. We have a big webinar tomorrow morning if anybody has an interest in joining that’s out on all of our Social and you can chime in to that webinar tomorrow morning with Forrester and us to learn a little bit more about our data and how we use it to access the consumers. So thank you very much.
Operator: And this concludes today’s conference. Thank you for your participation. You may now disconnect.